Operator: Thank you for standing by. This is the conference operator. Welcome to Sangoma's Second Quarter Fiscal 2026 Conference Call. [Operator Instructions] and the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Samantha Reburn, Chief Legal Officer. Please go ahead, Ms. Reburn.
Samantha Reburn: Thank you, operator. Hello, everyone, and welcome to Sangoma's second quarter of fiscal year 2026 investor call. We are recording the call, and we will make it available on our website for anyone who's unable to join us live. I'm here today with Charles Salameh, Sangoma's Chief Executive Officer; Jeremy Wubs, Chief Operating Officer; and Larry Stock, Chief Financial Officer. Charles will provide a high-level overview of the quarter. Jeremy and Larry will then take you through the operating results for the second quarter of fiscal year 2026, which ended on December 31, 2025. Following their presentation, we will open the floor for Q&A with analysts. We will discuss the press release that was distributed earlier today, together with the company's financial statements and MD&A, which are available on SEDAR+, EDGAR and our website. As a reminder, Sangoma reports under International Financial Reporting Standards, IFRS. And during the call, we may refer to terms such as adjusted EBITDA and free cash flow, which are non-IFRS measures that are defined in our MD&A. Before we start, I'd like to remind you that the statements made during the course of this call that are not purely historical are forward-looking statements regarding the company or management's intentions, estimates, plans, expectations and strategies for the future. Because such statements deal with future events, they are subject to various risks and uncertainties, and actual results may differ materially from those projected in the forward-looking statements. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in the accompanying MD&A, unaudited condensed consolidated interim financial statements, our annual information form and the company's annual audited financial statements posted on SEDAR+, EDGAR and our website. With that, I'll hand the call over to Charles.
Charles Salameh: Good afternoon, everyone, and thanks for joining us. I'm pleased to report that fiscal Q2 tracked right to plan, including one of our strongest booking quarters in recent history. This is a clear indication that our go-to-market strategy is gaining traction and that the investments we've made in positioning Sangoma for growth are starting to show tangible results. As we outlined last quarter, Q2 would show sequential revenue growth, and we delivered on that expectation. Revenue for the quarter was $51.5 million, up 1.2% sequentially. And importantly, service revenue grew 1% -- this is an important signal as it reflects the early impact of improving bookings momentum beginning to translate into recurring revenue growth. We delivered $8.3 million in adjusted EBITDA with 16% margins and conversion of adjusted EBITDA to operating cash flow was very strong at more than 120%. This continues to reinforce quality, consistency and discipline of our earnings model. And as a result, free cash flow improved sequentially to $8 million or $0.24 per fully diluted share. Now building on the KPIs we introduced last quarter, we're starting to see sustained progress in our mid-market strategy. Pipeline conversions remain solid, our bookings profile continues to improve, and we're seeing growing traction across our verticals and our wholesale motions. Collectively, these trends highlight the increasing effectiveness of our platform approach and our ability to execute at larger scales. With regard to pipeline, our pipeline remained steady in Q2, reflecting a healthy balance between new opportunity creation and deal conversion. Importantly, we're continuing to see improvements in our close rates, which reinforces both the quality of the pipeline and the effectiveness of our go-to-market execution. On bookings, MRR bookings grew significantly, up 67% sequentially and 60% year-over-year. As we increasingly engage with these larger, more complex mid-market opportunities, we expect some quarterly volatility, but with a higher long-term value and stronger recurring revenue. This is exactly the type of shift we want to see as we scale this business. On churn, also very proud of this, we also saw sequential improvement in that churn rate. Retention remains excellent with blended churn holding just under 1%. This reflects the stability of our recurring revenue base and the progress we've made in our customer experience, service delivery and platform stability. Now as we continue to execute on our FY '26 priorities, we are seeing momentum across all the business. Our essential communications platform, combined with more focused solution bundles, deeper vertical alignment and a strengthening partner ecosystem is enabling us to compete more effectively for larger multisite and more strategic mid-market opportunities. And more broadly, this reflects a shift in how customers are buying. And we're seeing that dynamic increasingly show up in the structure and the quality of opportunities we're pursuing. The progress we are seeing is not isolated to individual wins, but it's visible in the overall size of the opportunities, the quality of those bookings and the breadth of the customer segments engaging with us on our platform. With our leadership team, our operating systems, our partner programs now firmly in place, we are investing to scale our go-to-market engine. As outlined last quarter, we committed approximately $2 million in incremental SG&A to accelerate pipeline development, customer acquisitions and execute on partner enablement. In Q2, we began deploying these investments in a measured way, focused on building momentum while maintaining strong financial discipline. Our approach to capital allocation remains balanced and pragmatic. We continue to reduce debt and return value to our shareholders through our normal course issuer bid. At the same time, we maintain the flexibility to pursue strategic and selective accretive M&A aligned with our strategy should that right opportunity show up. And before I hand it over to Jeremy, I want to take a moment just to step back and frame how we see the next phase of our business. What we are seeing in the market today, particularly in the mid-market, continues to reinforce the direction that we've been intentionally pursuing over the past several years. Customer expectations are evolving towards fewer vendors, more integrated solutions and partners that can deliver dependable service in industry-specific context. In this environment, scale becomes a strategic priority, not as an objective on its own, but because it supports stronger economics, consistent execution and deeper long-term customer relationships. The key point here is that our ability to pursue scale is now an enabler for Sangoma rather than a constraint. The foundational work we completed has positioned Sangoma extremely well. We have the balance sheet, the operating discipline, platform breadth and the partner ecosystem required to grow organically while also being able to pursue opportunities that expand our scale and momentum as industry dynamics continue to evolve. As a result, we have real flexibility in how we move forward. That includes continuing to execute organically, selectively expanding the platform where it makes sense and maintaining the ability to evaluate broader opportunities as the market continues to mature. Any path we pursue will be grounded in discipline and clear focus on long-term value creation as we have been doing for the past 2 years. And importantly, we've already seen the impact of the foundation show up in the fundamentals, stronger bookings, growing recurring revenue base, improving churn and consistent cash generation. I want to thank this entire Sangoma team for their continued focus and execution as well as the key stakeholders who have been with us through this entire transformation. The progress we're seeing is the direct result of the work being done across the whole company, and its what positions us well for the next phase of our growth. Jeremy is now going to walk you through how the momentum is translating into our go-to-market execution and our booking performance. Over to you, Jeremy.
Jeremy Wubs: Thanks, Charles. I am pleased to provide an update on our go-to-market progress. Building on the bookings momentum Charles highlighted, what I want to emphasize today is how those wins are being driven and why we're confident in the trajectory of our go-to-market engine. As mentioned, our pipeline remains healthy, and we continue to convert a balanced mix of volumetric business and larger strategic mid-market opportunities. During the second quarter, we closed $7.5 million of the $14.8 million in new large strategic deal TCV identified last quarter, bringing our total large strategic TCV bookings to $10.8 million for the first half of fiscal 2026. Equally important, we backfilled the pipeline as we move into the second half. These bookings further validate our strategy as an essential communications provider and our ability to move upmarket. Several of these large wins also include upfront product or NRR components and will contribute to a slightly higher product mix in Q3. In prior quarters, I referenced a number of our go-to-market strategies targeting service providers, MSPs, vertical solution providers and wholesale opportunities. Regarding the wholesale opportunities, last quarter, I talked about a CLEC win of over $20,000 MRR and a comparable deal in our pipeline for a large health care organization of $12,000 MRR. I'm very pleased to confirm that this opportunity, which supports 2 large hospitals and 9 urgent care facilities is now a closed win. We also closed a large multi-location retail customer worth $18,000 MRR that previously had 3 separate vendors for voice, access and managed services. This client was looking for a single provider and value the bundled solution from Sangoma to standardize the technology stack across all locations and ensure scalability, repeatability and simplified support. Our most substantial service win this quarter was a greater than $150,000 MRR deal with a large distributed retail customer with 350-plus locations and a fragmented and disparate business communications environment. This customer was also looking for a single provider to once again ensure scalability, repeatability and simplified support. Beyond these large and strategic MRR wins, our hardware products, such as our prem UC products, phones and gateways continue to contribute to our product revenue as they move through distribution. I'm very pleased that this channel continues to show strength with revenue up 4% over the same quarter last year. We are also seeing strong momentum with our carrier voice and trunking solutions. During the quarter, we announced a contract with Commio, who selected our wholesale SIP trunking solution to support their nationwide cloud voice and messaging footprint. They are one of many new customers that are leveraging our trunking infrastructure, which is up over 10% from the same quarter last year. I'm encouraged by the progress of our go-to-market. We have a disciplined and focused team driving a growing pipeline of volumetric business alongside larger strategic opportunities. These larger deals are being closed, and we will see the revenue impact in later quarters, providing solid visibility towards our growth. I want to extend my thanks and appreciation to the entire Sangoma team. It's truly a team effort for their continued execution and focus on driving sustainable, profitable growth. I'll end here and pass things over to Larry. Thank you.
Lawrence Stock: Thank you, Jeremy, and welcome, everyone. We appreciate you joining us for today's call. Fiscal Q2 landed exactly where we expected, reflecting continued execution across the business. As a result of the bookings momentum in Q2, our starting backlog for Q3 is up approximately 125% compared to the start of Q2. This provides strong visibility into the second half of the year and reinforces the improving consistency of our operating performance. In the second quarter, we generated $10.1 million in net cash from operating activities, representing a 122% conversion rate from adjusted EBITDA. This reflects positive working capital movements as trade receivables returned to historical levels following the timing impact we discussed last quarter related to our ERP implementation. Year-to-date, our conversion of adjusted EBITDA to net cash from operations was 91%, which is right in line with our expectations for the fiscal year. Free cash flow for the second quarter was $8 million or $0.24 per diluted share. Given our strong free cash flow yield relative to the share price, we continue to take advantage of our normal course issuer bid. During the second quarter, we repurchased approximately 196,000 shares. Since launching the program last April, we have retired more than 700,000 shares or 2.1% of shares outstanding. This reflects both our capital discipline and our confidence in the long-term value of the business. We also continued to reduce debt, retiring an additional $5.2 million in debt during the second quarter. We ended Q2 at $37.6 million of total debt compared to $60.4 million in Q2 of last year. This ongoing deleveraging remains an important part of our capital allocation strategy. And as our credit profile improves, it further enhances our flexibility as we think about the next phase of the business. Quarter end cash was $17.1 million, up 27% from June 30. Looking ahead to the remainder of fiscal '26 and into fiscal '27, our capital priorities remain unchanged, leveraging strong cash generation to support organic growth and profitability, continue reducing debt to provide greater strategic flexibility, return capital to shareholders where appropriate, including through the NCIB and evaluate disciplined, strategically aligned M&A opportunities. This balanced approach positions us to drive durable long-term value creation. Now turning to the P&L. Total revenue for the second quarter was $51.5 million, representing sequential growth of 1.2% from Q1 as we had indicated last quarter. Excluding $6.4 million of revenue from VoIP Supply, which was strategically sold to exit low-margin nonrecurring resale activity, revenue was 2% lower year-over-year on a like-for-like basis. As Charles noted, services, which represents 92% of total revenue, grew 1% sequentially driven by higher cloud services revenue. Gross profit was $38.2 million in the second quarter, and gross margin improved to 74% compared to 72% in the first quarter and 68% in the prior year period, reflecting a more favorable revenue mix and continued strength in recurring services. Adjusted EBITDA for the second quarter was $8.3 million or 16% of revenue, consistent with Q1. We also had higher commissions tied to several large contracts booked in Q2, a healthy sign of commercial productivity. We expect adjusted EBITDA margins to improve in the second half of fiscal '26 as revenue builds and we benefit from operating leverage. With the first 2 quarters coming in largely as expected and a solid backlog, we are tightening our guidance for fiscal '26. We now expect revenue of $205 million to $208 million, adjusted EBITDA margin in the range of 17% to 18%. Achieving this outlook assumes other sequential revenue increase in Q3, and we anticipate returning to year-over-year organic growth once we adjust for the divestiture of VoIP Supply. We look forward to building on these foundations as we move through the back half of the year and into fiscal '27. Before we open the line for questions, I want to thank the broader Sangoma team. Your focus, commitment and execution continue to drive the progress we're seeing across the entire business. We're now ready to open the call for questions. Operator?
Operator: [Operator Instructions] Our first question is from Robert Young with Canaccord Genuity.
Robert Young: Great. The 67% quarter-over-quarter growth in MRR bookings, I'd like to dig into that a bit. What are the key drivers there? I mean you mentioned a lot on -- in the prepared remarks, timing of larger deals, higher close rates, I guess, the go-to-market biting where you want it to. Maybe you could just dig into that a little more because it's a big number. What are the key drivers?
Jeremy Wubs: Yes. I mean the key drivers, Rob, is really tied to some of those larger strategic deals. We've got a really kind of healthy new partner program in place, and we're seeing some of those bigger strategic partners working closely with us to find larger logos. So some of those logos that kind of I mentioned just a few minutes ago, some of those larger deals are what grew both our pipeline and really our bookings quarter-over-quarter.
Charles Salameh: And those are deals, Rob, has it going, by the way, pal? Those were deals that we started developing early in Q3 of last year and Q4, and they're just now they're coming into fruition, as I was talking about that the pipeline was building with these larger transactions, these multisite locations, and they started landing in Q1 and Q2, and we will see that continued trend going forward and hopefully growing.
Robert Young: And that's my second question is just the trend. I mean that 67% growth quarter-over-quarter, but 60% year-over-year, is that the sort of growth in bookings that you anticipate? Or is there seasonality? Like is the pipeline still shifting towards large bundled deals that can continue to support that type of bookings growth? Or is this just a special quarter for that?
Charles Salameh: No. Well, certainly, we're -- as I've said before, right, we've kind of gone from the transformational phase, which was sort of ending in June into the sort of growth phase. And the booking pipeline will continue to grow as the deals continue to grow. We built the company as I've been saying for 2 years, to integrate multiple components of essential communications to serve the rising more sophisticated mid-market. And the premise behind that was that this mid-market industry vertical is going to be looking for single vendors, lower TCO, top quality service to handle their essential communications. That's what we built. That's where now these last 2 quarters are beginning to show. We never had these size deals before. This is now a new area of business as we take the company. So this quarter and particularly in this first half, the bookings growth numbers are going to be big because we really didn't have it before. We had smaller deals, component selling in the past. So I think we are -- you're beginning to see the proof points of the strategy of integration and the idea of our ability to put larger deals together of components of voice, data, video security and hardware. Prove itself out now because we closed 5 fairly significant deals, and we see more of them in the pipeline going forward in the company. That is where this company is focused. That is our growth strategy. And now we have real proof points that validate the thesis that customers are going to be buying this way.
Robert Young: Okay. And last question for me would just be on the wholesale activity. I think you had 2 this quarter, that you had talked about before. And so that's a relatively new channel, as I understand it. Maybe if you could just go into the opportunity in wholesale and white label a little more deeply and whether that's something that can significantly expand the TAM, grow the -- be supportive of accelerated growth maybe, and then I'll pass the line.
Charles Salameh: I'm going to start with a real quick update on that. So the wholesale channel really is really about these large ecosystem partners, whether it's a carrier, a CLEC or even private healthcare, where you have multiple big hospitals that combine together with an ecosystem of special care centers scattered all over the United States. These infrastructures, these ecosystems are now being realized through our wholesale channel to be monetized, where the hospital themselves, for example, might say, "Hey, we want to have a standard offering for all the special care facilities that are attached to our ecosystem. We want a wholesale price for you for a bundle for a special care center 1, 2 or 3 depending on their size, and we want to make money off of that." Carriers the same way, right? They're buying our packages. They're wholesaling into their ecosystem of residential customers, small businesses that are attached to. So this idea of leveraging our ability to integrate and sell to the retail channel is now being used for the wholesale channel who can then use the lower retail -- or sorry, wholesale pricing to monetize their ecosystem. Do want to add to that, Jim?
Jeremy Wubs: Yes. I'd just add, Rob, there's -- there are 2 big players that were in the industry selling soft switches, right, as well, right? So I mean, Microsoft and Metaswitch and kind of where all that went and then Cisco BroadSoft. And so there's customers that have been on those platforms. They're getting pushed to kind of new business models that don't have the same type of margin that they used to. And we've got a really great platform with our wholesale offering. So we're inserting ourselves into that transformation opportunity. And the 2 examples I gave are examples of that, customers that have soft switches, they're looking for something competitive that still held the kind of margin profile they had in the past. And so they're moving with us as part of that transformation plan.
Operator: The next question is from Gavin Fairweather with ATB Cormark.
Gavin Fairweather: Maybe just to start out on the bundling and nice to see some more examples of bundled wins. Curious how many of your kind of newer prospects are you seeing that are interested in a bundled solution? And how you're thinking about that opportunity in the base? I mean presumably, a lot of the base would still be kind of components selling. Is there a way for you to move in there and really kind of drive greater upsell momentum?
Jeremy Wubs: Yes, that's a great question. I'd say there's 3 things, Gavin, to think about. One, we highlighted a few of these larger strategic deals that were kind of that full stack opportunity like we're seeing momentum and success for those. We're very bullish on more of that showing up certainly in our pipeline over the coming quarters. Second is kind of new customers, and we've reorganized our go-to-market to really focus on that integrated proposition, full bundle sales so that our partners are able to go out and kind of sell that full stack solution versus point solution. So those 2 kind of well in motion part of our plan. And then the third component kind of which you're highlighting is we do have a lot of customers that are single threaded with one single offer. We have a team very specifically that's actually using some new AI tools to examine analytically that base, use data models to look at where within those existing customers and partners, the opportunity to cross-sell and upsell. So that's a motion that the team is running now. We do a bit of upsell, I would say, today, not as much as I would like. But on a go-forward basis, we expect to see a pretty significant increase in the cross-sell, upsell for 2 reasons, one, like we've really put a focused team around it. And second of all, we are using some data models and AI tools to help us target those clients.
Charles Salameh: We've also made it easier just close out part of the transformation, we made it easier through our coding tools to give our partners the opportunity to pick and choose from a menu of different items that they really couldn't do before, and we can present them now on a more concise bill. These 2 components that you've been hearing me talk a lot about were prerequisites to be able to do this a lot of you as more and more partners begin to understand that this tool is now there. There's kind of an easy button to put pieces together, the bundling proposition becomes way more attractive because it's larger commission for them.
Gavin Fairweather: Great. And then just on partner maturity. I know you narrowed down your network of partners to a bit over 1,000. I'm wondering, is the read-through from the bookings that we're seeing that the partner network has really kind of hit maturity and is quite effective? Or do you think that there's further kind of partner enablement that you can do to help get to a new level?
Charles Salameh: I think there's 2 things. One, the continued growth within the existing partner ecosystem because we're far more strategic with them, and we've given them tools to allow them to see the breadth of the entire portfolio of Sangoma. Secondly, there are -- is a much more focused effort on new partners because we've narrowed not only our partners, but we're also narrowing our focus, at least for the foreseeable fiscal year, which is let's go win and dominate in 4 verticals where we're very strong, healthcare, education, retail, hospitality. In those environments, we're actually acquiring new partners who specialize in these fields. And we're also partnering up with from not only a technical point of view, but also from an ecosystem point of view, software vendors who are very much entrenched in these verticals, whether it's Jazzware in and hospitality or QuickLaunch in education that we've had press releases on, where the partner ecosystem will continue to expand, but now with much more precision than we had in the past, where it was just a holistic set of partners who can advocate for us and just sell any one of our solutions, were much more precise. So you'll see deeper entrenchment with our existing narrow down partner group, and you'll see expansion of the partner ecosystem along the vertical lines that I described.
Gavin Fairweather: Maybe just lastly on churn. I did notice the change in language from 1% to just under 1%. I think last quarter, you talked about some nonideal customers churning out that have been on 3-year contracts. I'm curious if a lot of that is now flushed through the system or do you think that churn could maybe move lower here in the coming quarter?
Jeremy Wubs: I think we have a little bit of room, Gavin, to improve. I mean, for a couple of reasons. One is some of the more challenging accounts have kind of moved through the system. The second is similar to what I mentioned before about kind of data models to cross-sell and upsell. We have some new AI tools, again, data models to help us kind of target some customers that might have a higher churn propensity, and we're getting more proactive with those customers to kind of offer more for the same to competitively obviously protect that base and use it as an opportunity to cross-sell and upsell.
Charles Salameh: I don't have a problem just telling you we're putting money into churn reduction, something we can't control, like macroeconomic issues, things that business is shutting down or what have you. We're not seeing that as a major part of our business. But there's also ways we can get proactive with customers, early renewals, things of that nature. And I set a pretty bold target. I want 0.85%. We were at 0.96%. We should be -- we're going to be focusing on trying to push churn down as much as we possibly can. And we've got a lofty goal to try and go after. So it's a very important part of our revenue plan and the way we handle LTV in this company. Because we're going after larger deals, churn is an important metric, and it's a very important priority for me and for, I think, where we're putting our money to invest in this company.
Jeremy Wubs: The next question is from David Kwan with TD Securities.
David Kwan: Just want to clarify one quick thing. Just on the revenue guidance. It sounds like you still think are expecting to grow year-over-year, excluding VoIP Supply starting in Q3 and then continuing into Q4 in addition to growing sequentially?
Lawrence Stock: That's correct.
David Kwan: Okay. Perfect. And as it relates to the product revenue, I think there was talk about expecting some higher hardware product sales in Q3. So should we assume that the gross margins probably are coming down a bit sequentially because of that due to revenue mix?
Lawrence Stock: No, I don't think so. We're expecting our margins to be stable as we get into Q3. Q4, even with -- even if we did have some changes in the mix, I'd expect those to stay stable.
Jeremy Wubs: A bit of the product mix is just coming from some of those larger strategic deals and there's a bit of NRR upfront associated with them. So it's -- we just expect a little bit of a shift. But again, it's really tied to the NRR associated with the MRR business.
Lawrence Stock: That's right.
David Kwan: Right. Perfect. And then as it relates to the growth investments, I know -- I think, Larry, you talked -- or not, Larry, Charles, I think you said in your commentary just about the $2 million, I think, that you guys were talking about last quarter as it relates to the investments kind of go-to-market. And I think it was talking about over the next few quarters, we saw a notable pick up in sales and marketing, which I would have expected, but also on the G&A side. So I was wondering if you could talk about, A, what some of that spend -- what that spend went into? And B, did you maybe expedite that spend level given the uptick we saw this quarter on the OpEx side? And is Q2 kind of the new baseline for -- that we should be basing our forecast off of?
Lawrence Stock: Yes. So it's a combination of things, actually, David. So we did have some increased commissions in the quarter for some of the new bookings that we had. Excuse me, just the timing. We also had also in timing, some tax-related items that hit G&A this quarter. Nothing unusual, and that will fluctuate a little bit as we move forward but not by much. I would expect that we're in line with where we've been and that, that trend will continue for both G&A and sales and marketing. In light of the investments that we've made, I think we'll be right in line with that.
David Kwan: Okay. Great. And just one last question. Curious what you're seeing in the M&A market. Obviously, we've seen some pretty significant downdrafts here on the software market in particular. So curious to see what you're seeing from an M&A perspective as you look at maybe adding some maybe tuck-in acquisitions.
Charles Salameh: Well, when we started this journey 2 years ago, you heard me say this, David, a number of times, the whole idea was set the company up for optionality on what we perceive to be a market that will be under pressure because of some of the extraneous factors, some of them technically related around AI, some of them commoditization because there are a lot of players in the industry. I think it's an opportune time. We're seeing a lot of opportunities in the marketplace, both small scale and larger scale. We're seeing valuations come down. We're seeing our valuation kind of begin to be a little bit more level set with, I think, where the market was 2 years ago, which gives us even greater opportunity to get off our balance sheet position. So -- and we're seeing it across the spectrum, companies of all sizes and scales and of all dimensions that really add value to our platform, whether it's vertically oriented software companies, MSPs, which have really kind of come down in valuation, hardware companies, but we're not really interested in those, but security players and even distribution scale companies of our ilk, right, in the communications space, in the call center space. These are all areas where would be valuable to the platform, given the platform is now integrated and have come down in valuation that we can take advantage of, as I said in my comments, of leveraging scale as a strategic option for the company because the balance sheet is now at a point where it enables us to do so. So I think it's an opportune time the market is providing. I think I've said this before, even said to my Board today. I've seen this movie 3 or 4 times in my career where the industry offers opportunities and those who have strong balance sheets and good financial discipline can take advantage of the discontinuities that are occurring in the industry. And the M&A world is providing that opportunity as we speak. So we're seeing it across the spectrum. And as I said, I think the last couple of days of what you've seen in the market, I think, will continue. It will put pressure on the software industry, and we could take advantage of that.
Operator: The next question is from Suthan Sukumar with Stifel Canada.
Suthan Sukumar: Congrats on the quarter. For my first question, I wanted to talk about the partner ecosystem. It sounds like the -- post all the changes and investments you guys have made, the partner channel sounds like it's humming quite nicely here. Can you talk a little bit about the level of partner engagement and contribution to bookings growth versus your direct sales organization this quarter? And what are some of the metrics you look at to measure performance here on an ongoing basis?
Jeremy Wubs: Yes. Thanks, Suth. I mean a couple of things. I mean the bulk of our revenue outside some of the sort of carrier trunking and other things we do are partner driven, right? So when you hear me talk about the bookings increase, the large TCV deals we've signed, those have all come through partners, really the combination of new, more strategic partners. Some of them are oriented around the verticals that Charles mentioned earlier. And then other just new partners, right, that are enticed by the bundles that we have and kind of getting out in front of their customers with that integrated value proposition. But I would say our partner program from a metrics perspective, it's certainly about are we signing up the kind of new partners, how quickly are those partners quoting, how quickly are those partners getting to win. So we sort of track the, call it, the life cycle of our partners, say, they're the right strategic fit. They are able to represent our value proposition well on to customers and they're quoting and closing business for us. So we keep a pretty close and kind of intimate eye on our partnerships and want to make sure we put all the right partner programs and support in place to help them grow because it helps us grow.
Suthan Sukumar: That's great. For my second question, I want to touch on the on-prem component of your current pipeline. How is that piece trending now? And how do you think about the conversion of that pipeline over the course of this year? Just kind of curious how this is -- how this opportunity is tracking to your initial expectations.
Jeremy Wubs: Yes. We continue to see our Prem UC business, Prem PBX up. It's been up every -- year-over-year every quarter for the last number of 4, 5 quarters, right? We've got great momentum there. We're typically seeing the share come from both Avaya and Mitel. Those are the places we've been hunting, like we're a little more oriented, which is probably not surprising around small, medium business, and that's kind of where our product sits. It drives both our prem solution as well as some of our phones. So it's continued to have strong momentum for us. There is an absolute market for prem solutions out there, certain customers profile, sometimes in government, education and others that want that solution, and we continue to see momentum there. So we're pretty bullish on continuing to take share and grow in that space.
Suthan Sukumar: Okay. Great. Just one last question for me. Just on the -- just overall booking strength this quarter and kind of heading into Q3. How do you guys think about that conversion of bookings to revenues over the course of the year? I mean, to me, it sounds like these are some significantly larger projects than you've dealt with in the past. So it feels like there's more moving pieces than you might be used to, but just kind of curious what you're assuming here.
Charles Salameh: I mean the book -- these types of deals do take time to roll out, like the one Jeremy mentioned that we won this quarter. It's 300-plus locations. There's a deployment of equipment at every location. There's an installing partner that's got to be on site. And you work as fast as you can with the client in combination with them to coordinate, dispatch and install and testing and so forth. And so we've got a pretty good machine running now. Joel Kappes, who runs our provisioning team. We've got a very disciplined, well-trained project management organization that understands how to thoughtfully and efficiently execute on these to roll out and convert revenue drop in the quarters as fast as possible, not only for our sake, obviously, because we want the revenue as quickly as possible, but customers want to move that fast. Once they get their understanding of the value prop that this is going to standardize their network stack, lower their TCO, they want to move fast, too. So you've got motivated customer, you've got a motivated company. And Jeremy and the team have done an excellent job of building the infrastructure, the process, the systems, the tooling, the competencies, the structure of the team to be able to execute on -- because both of us have had lots of experience doing this in our career, executing on these larger transactions. So it's not any more complicated unless you do the -- it's complicated if you didn't do the hard work of what we did in the last 2 years, which was transform the company and get it set up to do just this type of work. We see -- I'll just answer your question, we see revenue dropping pretty consistently from quarters of deals that are done in the previous quarters, right? So there'll be a natural wave that keeps building wave upon wave as bookings go up, that revenue can either drop from deals we may have signed 2 quarters, 3 quarters ago will drop into the quarters. And so our goal is to try and be much more transparent so you can see those bookings coming through. You understand the translation to revenue. You understand the provisioning cycle. And then within 8 months, usually to 10 months or so, depending on the size of the deal, you're going into full throttle for 3 to 5 years. And when you combine that with a churn rate of below 1% or 0.96% where we're at now, the LTV becomes very, very compelling. right? So you take the $11 million that Jeremy talked about, at those churn rates, you're going to assume they churn 3x. That's a $30 million TCV as long as you can keep customer service and all those things up. So that's how we see it.
Operator: This concludes the question-and-answer session and today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.